Operator: Good day, ladies and gentlemen, and welcome to the Ameresco Third Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Suzanne Messere. You may begin.
Suzanne Messere: Thank you, Latoya, and good morning, everyone. Thank you for joining us today for Ameresco's Third Quarter 2014 Earnings Conference Call. I'm joined today by George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer; and Andrew Spence, the company's Chief Financial Officer. On today's call, management will share brief highlights from the prepared remarks we published this morning. Following the brief highlights from the quarter, management will take questions from the audience. Before I turn the call over to George and Andrew, I would like to make a brief statement regarding forward-looking remarks. Today's call contains forward-looking information regarding future events and the future financial performance of the company. Ameresco cautions you that such statements are just predictions, and actual results may differ materially as a result of risks and uncertainties that pertain to our business. Ameresco refers you to the company's press release issued this morning and its annual report on Form 10-K filed with the SEC on March 17, 2014, which discusses important factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. Ameresco assumes no obligation to revise any forward-looking statements made on today's call. In addition, the company will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release as well as our prepared remarks. I will now turn the call over to George Sakellaris. George?
George P. Sakellaris: Thank you, Suzanne, and good morning, everyone. We delivered solid results in the third straight quarter of positive trends, both revenues and net income were in line with expectations for the third quarter. Contacted backlog increased 9% year-over-year and revenues from other service offerings increased by 14% year-over-year. September was a strong month for signed contracts. Three larger-than-average projects totaled more than $74 million that includes the following: A $42 million comprehensive energy efficiency and renewable energy project for the Federal Bureau of Prisons. A $7 million energy efficiency project for a county in Indiana. And Ameresco was chosen as a sustainability partner for an innovative $25 million project for the Minneapolis St. Paul International Airport. The project includes 3 megawatts of building-mounted solar, the replacement of 7,700 lights fixture with LEDs and 4 electric vehicle charging stations. The structured savings and unique financing of the project may offer lessons for future solar project funding. The project is one of the largest self-funded, building-mounted airport energy generation and demand reduction projects to date. During the quarter, we also signed contracts for more than $2 million for 3 refrigeration projects with a large food manufacturer. The projects were identified using our xChangePoint real-time energy analytics software solution. Another exciting development in the third quarter was our acquisition of Energyexcel, an independent energy services provider located in London. The acquisition expands our capabilities and value-added services for local and multinational commercial industrial customers while also further enhancing Ameresco's value proposition. We are integrating the acquisition with our existing business in the U.K. under the Ameresco brand. We believe the integration of this complementary business will provide the foundation for Ameresco to expand our comprehensive, value-added energy efficiency and renewable energy services to customers in the U.K. Third quarter Federal revenues increased 37% year-over-year. The improvement is primarily related to a healthier Federal market and a renewed focus on creating integrated projects that highlight our unique technical capabilities, while addressing our customer needs. One example is that this energy retrofit project is currently being constructed for the GSA. GSA issued the first phase of the National Deep Energy Retrofit Challenge in 2012. The first phase include 10 task orders and 7 prequalified ESCOs. Ameresco was awarded the $42 million task order for 2 sites in Maryland. Our project includes significant improvements to the building controls and HVAC systems; the installation of more than 11,000 LED lighting fixtures; a network for 2,000 new sensors, building infrastructure improvements; approximately 900 kilowatts in solar for a canopy and a carport in the parking areas; a geothermal well field; a solar thermal heating system; and a water reclamation, bioretention facility. Ameresco's innovative design integrates the conservation measures in such a way that it is expected to generate 60% in energy savings, which is well above the average of 38% for all projects in phase 1 of the GSA product. During the second phase of the GSA Deep Energy Retrofit Challenge, Ameresco was one of only 4 prequalified ESCOs selected to conduct preliminary assessments for 7 potential projects. We were selected to develop 2 projects that will include 4 buildings in Washington D.C. and 13 buildings located in the Western part of the United States. We believe that the creativity exhibited in our first project was one of the contributing factors, among others, behind our selections in the second phase. While we have been encouraged by the gradual improvements experienced so far in 2014, we remain cautiously optimistic about converting awarded projects to signed contracts, as weighted average conversion times have not improved. Based upon year-to-date performance and expectations for the fourth quarter, we are now narrowing our revenue guidance range by increasing the bottom end of the range and reaffirming our net income range for the year. We now expect to earn revenues in the range of $570 million to $600 million, and continue to expect net income to be in the range of $8 million to $14 million. Our guidance assumptions for the fourth quarter of 2014 are as follows: Project revenues from contracted backlog in the range of $108 million to $123 million. Our prior guidance assumption include $15 million of project revenues related to solar assets that were being developed for sale to others, compared to $33 million in project revenues from solar assets developed for others in 2013. During the quarter, we made a strategic decision to retain these assets due to better long-term economics. This reduction in revenue was offset by approximately $8 million in project revenues related to acquisitions in 2014, and the balance coming from other projects. The range in project revenues from contacted backlog is dependent, of course, on our ability and the ability of our subcontractors and material suppliers to meet the construction schedule for several significant projects. Project revenues from awarded projects and proposals in the range of $5 million to $15 million, and the remaining $45 million to $50 million of revenues from all other service offerings. Gross margins in the range of 18% to 20%, and a $2 million increase in our current operating expense quarterly run rate due to acquisitions and acquisition expenses. And an income tax benefit of $3.5 million assuming the midpoint of our range. Ameresco's outlook for both the fourth quarter and full year is positive. However, there are factors that remain beyond our control. Historically, projects that experience a shortfall, typically are largely offset by projects that proceed better than expected. Our current contracted backlog includes a high percentage of larger-than-average projects that they are in the early stages of mobilization, a period of greater risk of delay. We are monitoring the situation as we approach the winter months. Our guidance range reflects management's efforts to mitigate potential risk and uncertainties with projects that are in construction or are expected to go into construction during the fourth quarter. Now I do like to turn the call to over to Andrew to provide more details about our financial results. Andrew?
Andrew B. Spence: Thank you, George, and good morning, everyone. The financial highlights from the quarter are as follows: Revenue for the third quarter of 2014 was $169 million, an increase of 5%, an $18 million revenue increase from the Federal, Canada and Small-Scale segments and all other was partially offset by an $11 million decrease in project revenues from the U.S. region segment. The U.K. acquisition contributed $3 million in revenue. Revenue from all of the service offerings increased 14%. We now expect these revenues to increase 8% in 2014. Revenue from Small-Scale Infrastructure increased by 43%. The increase was related to the new renewable energy plants placed into operation during the first half of the year and the sale of renewable energy credits. We now -- excuse me, renewable energy certificates. We now expect Small-Scale Infrastructure revenue to increase more than 25% in 2014. Integrated-PV revenue was essentially flat year-over-year, which is in line with our current expectations for the year. O&M revenue increased 3% year-over-year due to new O&M contracts for the U.S. Federal customers. We continue to expect 2014 revenue to be consistent with 2013. Year-to-date revenues were $412 million or an increase of 4%. A $44 million revenue increase from the Federal, Canada and Small-Scale Infrastructure segments and all other was partially offset by a $30 million decrease in project revenues from the U.S. region segment. Gross margin for the third quarter was 20.7%, compared to 18.6% a year ago. Gross margin benefited from a favorable mix of higher margin projects and service offerings. Operating expenses for the third quarter increased to $26 million, the increase was primarily due to the addition of a new location and the acquisition of an independent energy services provider in the U.K. We now expect our quarterly operating expense run rate to increase $2 million due to these investments. We plan to explore opportunities to improve operating efficiencies to offset the recent increases in our fixed cost base resulting from the investments made. Third quarter operating income increased to $9 million. The improvement was driven by increases in both revenue and gross margin. Year-to-date operating expenses increased to $74 million, compared to $71 million last year. Year-to-date operating income was $6 million compared to $4 million in 2013. Third quarter 2014 EBITDA was $16 million. The increase was primarily related to an improvement in operating income while the U.K. acquisition was positive from an EBITDA perspective, it did not have a material effect. Year-to-date 2014 EBITDA was $25 million compared to $21 million last year, and third quarter net income was $7 million compared to $5 million a year ago. Third quarter earnings per share increased to $0.16. The U.K. acquisition did not have an effect on the EPS in the third quarter. Year-to-date net income was $2 million compared to $1 million last year. Year-to-date earnings per share was $0.04 compared to $0.02 a year ago. The estimated number of diluted shares outstanding for the full year will be approximately 47 million. We experienced a tax benefit of $500,000 for both the third quarter and for the year-to-date. We expect a full year tax benefit of $4 million, assuming the midpoint of our guidance range. For the year-to-date, we used $12 million in cash from operating activities, adjusted free cash flow was $19 million, which reflects the $33 million in proceeds from federal ESPC projects. We invested $6 million in the renewable energy project assets during the quarter and $17 million year-to-date. We now expect to invest $20 million to $25 million in new assets in 2014. We have invested $14 million in acquisitions year-to-date. At the end of the third quarter of 2014, we had $20 million outstanding on our revolver. This was primarily related to a period of higher construction volume, the U.K. acquisition and the development of solar assets for our renewable energy portfolio. We ended the third quarter with contracted backlog of $401 million, an increase of 9% year-over-year. During the third quarter, we converted $116 million of awards to signed contracts and project revenues from backlog was $115 million. The weighted average conversion time of an awarded project to a signed contract was 19 months compared to 18 months a year ago, due to the Federal Bureau of Prisons project. We expect the weighted average conversion times to remain in the 12 to 18 month range. The average size for projects signed in the third quarter was $4 million compared to $3 million in the second quarter, which is more in line with our historical average of approximately $5 million. And with that, I will turn the discussion back to George.
George P. Sakellaris: Thank you, Andrew. We remain committed to an industry that we believe has great potential. This is the primary reason we have continued to invest in and refine our value proposition of which there were several examples we've already discussed. We are in a process of constructing a project that integrates both energy efficiency and renewable energy conservation measures in such an innovative way that is expected to generate 60% in energy savings for the customer. We also signed a contract for a project that uses structured savings and unique financing that could offer lessons for future solar projects funding. Further, we demonstrated that our real-time energy analytics software solutions can lead to multiple projects with the same customer. Finally, we are solidifying our value proposition and building synergies in the U.K. acquisition. In addition, we are exploring opportunities to improve operating efficiencies. We believe that a continued focus on improving overall trends and implementing customer-value, efficient energy solutions, while managing fixed cost will create greater shareholder value over time. Now we would like to answer your questions, and I will turn the call back over to our coordinator, Latoya.
Operator: [Operator Instructions] And the first question is from Jim Giannakouros of Oppenheimer.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: In your other revenue streams, flat PV and O&M, but big quarter in Small-Scale Infrastructure. How should we be thinking about longer-term potential in each bucket, as far as growth is concerned?
George P. Sakellaris: I would say the integrated-PV for the last few years has been in the single digits. So I will think it will be in that range and maybe 10%. But on the other assets that we own, like the LFG projects and so on, again, maybe similar trend. But rather than give a forecast for the year, we prefer to wait until the end of the year and see where we are and what the backlog looks like because we are developing several projects, whether it's PV assets that we hold now [ph] for our balance sheet or LFG projects or a couple of projects that -- 7 projects that we were talking about redeveloping for the -- taking credits further the ins [ph] and so on. We'll be in better position, I think, to discuss better targets for the next year, at the end of the year.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: That's fair. If I understand...
George P. Sakellaris: But I will say this, this was, Jim, there's a lot of positive activity in that area.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: Okay. Okay. And then operating maintenance, the way I understand is that I would have expected a steady rise there reflecting project completions, right? And you staying on, providing services, but a flat year-over-year -- I'm not fully understanding exactly what the [indiscernible] offsets are this year?
George P. Sakellaris: The previous year, 2013, we have what I will call, onetime items. Because one of the things that we [indiscernible] have the operation and maintenance group is that for follow-on work with a particular customers. And last year was, I would say, it was a little bit of unusually year, we had quite [ph] a few orders. Maintenance -- things that will breakdown, and because we are there, we will fix that particular project. And we had quite a bit [ph] of onetime items last year that we do not have this year. But you're right, we would expect to have gradual increase. But of course, we had such an unusual year, 2013, that's why it looks flat for 2014.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: Okay. And then as far as acquisitions, you seem active. Any comments on your acquisition pipeline?
George P. Sakellaris: We continue to look at them and take advantage of any opportunities that may present themselves. But as you probably know, the market is a little bit very competitive lately and sometimes we're not willing to pay the higher prices that some other people might be willing to pay. So we are very disciplined and we want to make sure they are accretive or they are -- they provide us some geographic expansion where we might want to expand or broadening our product offerings. So we will still be disciplined in acquisitions like we have in the past. But the pipeline, we have more opportunities than we have time to look at it.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: That's good to hear. On the gross margin, you surprised there again to the positive, just trying to understand your mix. Is there a sustainable shift there? Or just, I guess, just general comments on how we should be thinking about gross margin normalized for Ameresco?
George P. Sakellaris: Again, the normalized -- we've always said in the high teens, but we haven't made since this year and last year after we did our strategic session to focus a lot in the gross profit margin and try to improve, whether it's through the mix or the projects that we take as new business. So it's been an effort across the company to make sure we improve the profit margins, and I think this last quarter you saw the result. We did have a couple of gains when you complete various projects, at the end of the day you have pickups, and that happened a little bit this quarter. But the general trend though has been an improvement in the margin.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: Okay. All right. And then, obviously, on your backlog. You mentioned in your prepared remarks, conversion trends haven't improved materially coupled with larger average projects. I'm not looking for hard guidance, but how should I be thinking about implications for revenue progression over the next 12 to 15 months? Understanding the slight skew toward larger, longer cycle projects are subject to greater risk of delays, et cetera?
George P. Sakellaris: Yes. On the Q4, you saw in one of the guidance that I provided that we are looking for a $5 million to $15 million of revenues coming from awarded projects or projects in proposal stage, but the better part of that is coming from awarded projects. And the low end of the range we already feel pretty good about it. Otherwise the $5 million based on what -- that's been signed to date on the contracted backlog. We feel very -- pretty good about it. As far as the long term, when we cross the 400 level, we feel pretty good about it and we would like to see that sequential increase or maintain that level going into next year and hopefully, a little bit better. And based on where we are right now, like I said on one of my lines there, the signs for the fourth quarter and beyond, they look positive. But on the other hand, we've got to be cognizant of the fact that it still takes 18 to 19 months to get awarded projects to contracted projects. The other thing in this last quarter that made us feel pretty good about it is that we had one of the highest award projects for some time -- quarters for some time. So the activity level as you might say, whether it's on the total pipeline or the awards has picked up quite a bit. But it will take some time to move from the awards to the executed phase.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: And on that George, I guess, the last question. Lower energy costs, has that impacted the conversations or even purely the economics around your value proposition and specifically, for those clients where you've been awarded contracts but not yet converted?
George P. Sakellaris: Yes. Like I say, maybe the sensitivity or maybe the surge of urgency on the lower cost kept some impact, the lower energy cost have some impact on the customers. But still, the driver here is -- that's why I keep using the word self-funded projects. And the interest rates, being where they are right now, we should come up with very creative way of financing so other ways creating the positive cash flow for the customer where he gets a particular upgrade. I mean, I talked a little bit about the Minneapolis -- St. Paul Minneapolis Airport, a $25 million project. And we have done solar installations for airports, but this is the first project that was 100% self-funded. And it was self-funded because we got low interest cost as well as incorporating into that particular project besides the 3-megawatt installation of building-mounted solar, with a substantial energy efficiency projects. And that, I think, is a great, great way of combining renewable with the energy efficiency and have them be self-funded. Because by themselves, if you are doing the solar operation by itself, you will not be able to self-fund it. And so that's -- the same thing applies to the deep retrofit project for the Federal government. I mean, I couldn't believe it when we achieved 60% savings for that particular building. But you see that -- it's a very comprehensive list of measures that we were able to identify. And then at the end of the date have them funded out of the savings. So those are the kinds of things that makes us feel good about the business that we are in and the long-term prospects of it.
Operator: And I'm not showing any further questions at this time. I like to turn the call back over to George Sakellaris for closing remarks.
George P. Sakellaris: And with that, I will say thank you very much and we will talk to you next time. Have a nice day.